Operator: Ladies and gentlemen, at this time, I would like to welcome everyone to the Resideo First Quarter 2024 Earnings. Today's call is being recorded. [Operator Instructions] It is now my pleasure to turn today's call over to Mr. Jason Willey, Vice President of Investor Relations. Mr. Willey, you may now begin... 
Jason Willey: Good afternoon, everyone, and thank you for joining us for Resideo's First Quarter 2024 Earnings Call. On today's call will be Jay Geldmacher, Resideo's Chief Executive Officer; Anthony Trunzo, our Chief Financial Officer. A copy of our earnings release and related presentation materials are available on the Investor Relations page of our website at investor.resideo.com. We would like to remind you that this afternoon's presentation contains forward-looking statements. Statements other than historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. 
 Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Resideo's filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward-looking statements. We identify the principal risks and uncertainties that affect our performance in our annual report on Form 10-K and other SEC filings. With that, I will turn the call over to Jay. 
Jay Geldmacher: Thank you, Jason, and thanks, everyone, for joining us today. I'm excited by the results the team delivered in the first quarter and the progress being made in transforming Resideo. For the quarter, we reported revenue at the midpoint and adjusted EBITDA at the higher end of our previously provided outlook. Our momentum within Products & Solutions continues to build, evidenced by a 180 basis point expansion in gross margin and 9% growth in segment adjusted EBITDA year-over-year. 
 We continue to make great progress on our strategic priorities across our portfolio, operations and cost optimization initiatives. This is highlighted by our agreement to acquire Snap One, which we expect will enhance our transformation efforts across Resideo. For our ADI business, Snap One will expand product breadth and capabilities across audiovisual and smart living distribution while expanding our ability to serve our core security customers. The combination better positions the business in attractive growth categories adds new high-margin proprietary products and services and broadens ADI's customer base. 
 We see opportunity to expand Snap One's Control4 and home automation offerings through tighter integration with products and solutions, extensive connected product offering, specifically within safety and security. We also see opportunity to leverage our supply chain expertise and Snap One's proprietary product design and development capabilities to drive efficiencies in both organizations. For Resideo as a whole, we expect the acquisition will be accretive to gross margin and to adjusted EPS in 2025.
  We've identified meaningful cost synergies between the 2 businesses and a path to quickly lower our post-closing leverage levels. Needless to say, the team is quite excited about the future integration of Snap One into Resideo, and we expect the acquisition to have a meaningful positive impact on our long-term value creation. We are leaving no stone unturned to unlock long-term value within our portfolio. In addition to the Snap One acquisition, we will continue to pursue opportunities to reposition the products and solutions portfolio toward higher margin, higher growth areas within our markets. We are also laser-focused on managing costs, and we continue to make progress on driving operational and expense efficiencies.
 These efforts helped us to expand products and solutions gross margin in the first quarter by 180 basis points, even as overall volumes declined slightly. We reduced overall residual operating expense by $13 million in the quarter, excluding restructuring. Combined with savings in our cost of goods, we are on track to hit the target we outlined last year for $125 million of gross cost savings for 2024. Looking at the businesses. We are ramping up new product introductions within Products & Solutions. Last week, we announced our latest first alert smoke alarms at retailers nationwide with advanced sensing technology that defines a new era of residential fire protection. 
 At the ISC West show last month, we unveiled our first alert AI-enabled indoor camera, which will be available at ADI this summer. These introductions, coupled with our recently released video offerings and entire portfolio of professional offerings provide a growing suite of whole home awareness, safety and security products. In addition to smart home innovation, we are also leading the charge alongside utility providers and smart appliance brands to help bring consumers a more comfortable and efficient home. Earlier in the week, we announced a partnership with Baltimore Gas and Electric to work together to help predict, identify and proactively react to peak demand events and optimize energy use, all while maintaining customer comfort. 
 Program participants can enroll their smart thermostats and receive financial incentives. This announcement builds upon the growing list of utility partners in our demand response offering. We see demand response as a continued source of growth for products and solutions and intend to meaningfully expand our presence in this market. We continue to expand our content and residential new construction, a market we expect to grow this year. Our growing depth and breadth of homebuilder relationships and success driving BRK branded safety products into this channel are examples of the significant incremental value we have created through the first Third acquisition. 
 We are leveraging Resideo sales expertise and channel relationships with BRK's strong value proposition to meaningfully expand our position with customers. Products & Solutions adjusted EBITDA margin grew by over 300 basis points year-over-year, driven by gross margin expansion and lower operating expense. We have accomplished this profit expansion against the backdrop of lower volumes while continuing to invest in key long-term strategic initiatives. Products & Solutions margin improvement highlights the significant transformation work undertaken over the past 4 years. 
 At ADI, we are increasing our digital capabilities and improving our customer experience. In the first quarter, e-commerce sales continued to grow, reaching 21% of sales. ADI's digital customers count also expanded in the quarter, demonstrating that our website and mobile app continue to be embedded into the integrators purchasing process. ADI exclusive brand sales grew 7% year-over-year, achieving a quarterly record. We continue to expand our exclusive offerings and have added resources to enhance customer awareness of these offerings. 
 The acquisition of Snap One is an important part of our strategy to enhance the growth rate and gross margin for ADI and Resideo as a whole. Important drivers of both growth and margin opportunity or Snap One's portfolio of proprietary products, Control4 platform and customer support offerings. We see significant opportunity in bringing together Snap One's broad capabilities with ADI's complementary offerings and extensive customer reach. With that, I will turn the call over to Tony to discuss our first quarter results and 2024 outlook in more detail. 
Anthony Trunzo: Thank you, Jay, and good afternoon, everyone. First quarter profitability was above the midpoint of our expectations, continuing the trends we've seen over the past several quarters, powered by strong gross margin and cost reductions in products and solutions. Margin momentum continued in Products & Solutions as we posted our fourth straight quarter of year-over-year gross margin improvement. Resideo first quarter revenue of $1.49 billion was 4% lower than Q1 last year and down 2%, excluding the impact of the divestiture of our lower-margin Genesis wire business last fall. 
 Operating income for the quarter was $128 million and included $7 million in restructuring costs. These actions are expected to generate $8 million of savings in 2024 and $13 million on an annualized basis. Adjusted EBITDA was $137 million compared to $138 million in Q1 2023, and adjusted EBITDA margin expanded by 30 basis points. Fully diluted earnings per share were $0.29 and $0.47 on an adjusted basis compared with $0.38 and $0.51, respectively, last year. 
 Beginning with this quarter's reported results, we modified our adjusted EPS calculation to exclude the impact of stock-based compensation and amortization of intangibles. These changes better reflect the way we view the business and provide a clear direct comparison to peer companies. Products & Solutions first quarter revenue of $620 million was 6% lower than the first quarter of 2023, but essentially flat adjusting for the sale of Genesis. We believe our HVAC distribution channel inventory has largely returned to normal levels.
  Thus, we expect our sell-in will largely mirror sell-through moving forward. First Alert delivered another strong quarter, driven by our BRK branded products in the residential new construction market. Our efforts to develop homebuilder relationships over the last several years are bearing fruit as BRK has now posted 3 consecutive quarters of year-over-year double-digit growth. Products & Solutions gross margin in Q1 was 39.5%, up 180 basis points compared to last year and represents our fourth consecutive quarter of year-over-year margin expansion. 
 We achieved improvements in raw material costs, labor efficiency and freight costs, which more than offset the impacts of reduced volumes and labor rate inflation. As unit volumes and factory utilization rates recover, we continue to believe Products & Solutions gross margins can further expand. This expected improvement reflects a combination of fixed cost leverage on higher volumes for the benefits of our transformation actions, including our San Diego facility outsourcing and the sale of one of our Mexico facilities in early April. Products & Solutions first quarter operating expense was down $13 million year-over-year, excluding restructuring costs. 
 The cost reduction actions we've undertaken over the past 18 months and a heightened focus on expense controls are paying off for Resideo. Products & Solutions adjusted EBITDA was up $12 million year-over-year to $140 million, with adjusted EBITDA margin expanding by over 300 basis points. Turning to ADI, Q1 revenue was $866 million, down 3% versus the prior period, reflecting delays in large projects in January and February. Project business picked up in March, and we expect improved revenue trends in the second half of 2024 -- exclusive brand sales at ADI were up 7% compared to Q1 2023. 
 ADI gross margin in the first quarter was 18% compared with 19.2% in Q1 last year. Gross margins were impacted by transitory pricing benefits experienced in early 2023 and continued competitive pricing in a softer market. ADI adjusted EBITDA of $58 million was down 17% compared to Q1 last year, reflecting the lower gross margin and flat operating expenses. Corporate costs were $33 million, up $2 million compared with the prior year first quarter. As we indicated in last quarter's call, we have changed the way we report our segment and corporate costs to move clearly identifiable costs into the businesses that were previously carrying in corporate.
 Q1 cash from operations was $2 million compared with a use of $4 million in Q1 last year and in line with our expectations. The first quarter is typically our weakest cash flow quarter as we made payments on accrued bonuses, 401(k) match and customer rebates. Improving cash generation and specifically working capital performance remains a major initiative, and we continue to expect to generate at least $320 million in cash from operations in 2024. Turning to our outlook. Our guidance remains predicated on the following assumptions: -- we expect residential repair and remodel activity to be flat to down low single digits year-over-year and residential new construction starts to grow by low to mid-single digits. 
 We have assumed HVAC channel inventory levels largely normalized in the first half of 2024. Second quarter, we expect revenue to be in the range of $1.51 billion to $1.56 billion, adjusted EBITDA in the range of $130 million to $150 million and adjusted EPS of $0.43 to $0.53. For the full year, we expect revenue to be in the range of $6.08 billion to $6.28 billion and adjusted EBITDA to be in the range of $560 million to $640 million. Both are unchanged from the outlook we provided back in February. 
 Adjusted EPS is expected to be in the range of $1.90 to $2.30. We expect to generate at least $320 million of operating cash flow for the full year 2024. This outlook does not include any impact from the proposed acquisition of SNAP 1, which we expect to close no later than the second half of 2024. A strong start in 2024 with first quarter adjusted EBITDA at the higher end of our expectations and further signs of market stabilization within key areas of products and solutions. While ADI is currently facing some market headwinds, we believe that our efforts in digital transformation, exclusive brands and adjacent category expansion position us well as the market's ADI serves improve. 
 Before turning the call back to Jay, I'd like to comment on some of the financial implications of our recently announced agreement to acquire Snap One. Financing to this transaction is expected to include an additional $600 million of new senior secured debt, a $500 million perpetual convertible preferred stock investment from CD&R and excess cash from our balance sheet. At closing, we expect our pro forma leverage to be approximately 2.2x compared with 1.4x at the end of Q1. 
 Through cash from operations, ongoing growth in adjusted EBITDA and potential divestiture of nonstrategic assets, we are targeting to reduce our leverage to approximately 2x by the middle of 2025. Our strategy of maintaining an investment-grade credit profile and strong BB ratings has not changed. I'll now turn the call back to Jay for a few concluding remarks before we take questions. 
Jay Geldmacher: Thank you, Tony. In closing, we continue to make significant progress on our key strategic initiatives and remain focused on strengthening the business. Products & Solutions is benefiting from new innovative products and cost optimization with improving margins. Our recently announced acquisition of Snap One will add immediate value across our business in terms of accelerating key strategic initiatives and enhancing our overall profitability. 
 We believe all of these efforts position us well for growth and profit acceleration when the market environment becomes more favorable. 
 I want to thank the entire Resideo employee base for their outstanding efforts in the first quarter, and I'm excited to continue to build on the momentum together as we move through 2024. Operator, we are now ready for questions. 
Operator: [Operator Instructions] Your first question is from the line of Cory Carpenter with JPMorgan. 
Cory Carpenter: I had one and then a follow-up. I was hoping you could start by expanding on order volume trends. It sounded like perhaps they took a step back this quarter after you talked about stability the last few quarters. But if you could just kind of flesh out the trends that you're seeing there and your expectations for the rest of the year. 
Anthony Trunzo: Cory, it's Tony. Order trends have been pretty stable. I mean I'm not sure if you're referring to the business as a whole or to one of the segments. But within P&S, order rates have been pretty darn stable. And that's kind of -- that's what we indicated. So, we're starting to see that flatten out and the sell-in and the sell-through seem to be aligning. So that's a positive.
 We did see softer orders and softer daily sales averages in the first 2/3 of the quarter at ADI. March was a little bit better. Daily sales averages in March were roughly in line with where they were in the prior year period. That business definitely is seeing some softer market dynamics than maybe we've seen a year or so ago. But overall, I don't think there's a significant change really in the order patterns. 
Jay Geldmacher: I'd add, Cory, this is Jay. There's definitely normalization in the HVAC inventory, which is I'm really pleased about. I know that's something you guys have been asking about the last couple of quarters. And I'd also say that we're excited about the continuous -- the growth of success with the first alert, specifically in the homebuilder channel, and that's very positive. 
 And I think we got ourselves from an operational standpoint, structured correctly so that when this market does begin to turn back up, which it will, we're in a good spot to move forward for them there and to leverage up. The thing on ADI, Tony is right. I mean we mentioned it last quarter, market demand has slowed, but ADI sales and markets have historically been less volatile and they're diversified end markets and customer base. So yes, they have softness, but those are some of the things that I think will hold up well for them as we move forward through the year. 
Cory Carpenter: And just, I guess, probably for you, Tony, for a follow-up. For the 2Q guide, it came in a little below -- the Street, but of course, you reiterated 2024. Just curious if there's anything you can call out in 2Q in terms of seasonality or something that perhaps we were not incorporating in your models? 
Anthony Trunzo: Cory, no, it's our phasing. I mean you -- yes, I guess we were a little light relative to what the consensus was for Q2. But we're not like relative to our internal budgets, and we're not light relative to what our expectations were entering the year. We'll take the outperformance in Q1. We continue to have some caution around the full year. But net that, to your point, we're pretty comfortable with where we sit and we're holding guidance for the year. 
Jay Geldmacher: Yes, I agree. 
Operator: [Operator Instructions] Your next question is from the line of Ian Zaffino with Oppenheimer. 
Ian Zaffino: I wanted to just ask you about the ADI guidance. Kind of what gives you confidence in the growth into the second quarter while first quarter wasn't as strong? And then also, you pointed to e-commerce, but I guess e-commerce was only up, I think, 1% or so last quarter. So how do you get to where your AI guidance is for the second quarter? 
Anthony Trunzo: Yes. I mean, we didn't give -- just so we're clear, we didn't give specific ADI guidance for Q2. When we look out over the landscape of the year, I think the again, what we saw when we gave guidance around the way the year was going to play out, we expected the second half of the year to be a bit stronger for ADI. It's definitely playing out that way. The main inputs, as you know, I mean, that's a pretty quick turn business.
 The main inputs that we have really are the frequent touch points with customers, whether it's at the branch or whether it's at trade shows or just the regular sales cadence we have. And we get a sense from them as to what their project flow is and what their bid activity is and that sort of stuff. And their view is that things have been delayed and they're hearing from their customers that those delays are likely to release as we move through the year. 
Jay Geldmacher: I'll also add too that as we mentioned, because they have experienced softness there's more competition out in the market right now because of the market softness. And so that ties into that. But I think everything that Tony mentioned, I think he's spot on. And I think that in terms of how we see it today, I think we feel good about what we put forward to you guys. 
Ian Zaffino: Okay. Good. That's helpful. And yes, so that's for the full year. I apologize. And then if we could turn to PMS. Maybe talk a little bit about First Alert how is that doing inside the company now? And then how is it doing versus listen the legacy business? 
Jay Geldmacher: Tony talked a little bit about it, and I just mentioned it a little bit, but the strength at First Alert BRK has been really good in the builder channel. I mean I'm super excited about the progress there and the stickiness of being able to expand that. And that's -- my chair, it maybe exceed my expectations. So, I'm very, very excited about that. 
 The -- I think in general, we'll continue to leverage that with the First Alert BRK in terms of that channel. And we talked about content and we've talked about that probably for the last 12 months of increasing overall content in R&C. And the BRK has helped expand that, and we'll have more opportunity beyond that to expand the content within the RNC channel. 
Operator: At this time, there are no further audio questions. I will now hand today's call over to Mr. Willey for any closing remarks. 
Jason Willey: Thank you, everyone, for joining us today. We look forward to talking with you over the coming weeks. And as always, please feel to reach out if you have any questions. Have a good rest of your day. Thank you. 
Operator: This concludes today's call. Thank you for joining. You may now disconnect.